Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Magna International Fourth Quarter Year-End 2017 Results Conference call. During the presentation, all participants will be in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, today's conference is being recorded, Thursday, February 22, 2018. It is now my pleasure to turn the conference over to Louis Tonelli, Vice President – Investor Relations. Please go ahead, sir.
Louis B. Tonelli - Magna International, Inc.: Thank you, Tina. Hello, everyone, and welcome to our fourth quarter 2017 conference call. Joining me today are Don Walker, CEO; Vince Galifi, CFO; and from Detroit, Swamy Kotagiri, CTO. Yesterday, our Board of Directors met and approved our financial results for the fourth quarter ended December 31, 2017. We issued a press release this morning for the quarter. You'll find the press release, today's conference call webcast, the slide presentation to go along with the call, and our updated quarterly financial review, all in the Investor Relations section of our website at magna.com. Before we get started, just as a reminder, the discussion today may contain forward-looking information or forward-looking statements within the meaning of applicable securities legislation. Such statements involve certain risks, assumptions and uncertainties, which may cause the company's actual or future results and performance to be materially different from those expressed or implied in these statements. Please refer to today's press release for a complete description of our Safe Harbor disclaimer. As we review financial information today, please note that all figures discussed are in U.S. dollars, unless otherwise noted. We've included in the appendix reconciliations of certain key financial statement lines for Q4 2017 and Q4 2016 between reported results and results excluding unusual items. The quarterly earnings discussion today excludes the impact of these unusual items. We've also included in the appendix a slide that provides an estimate of our 2017 sales and EBIT margin percent, both consolidated and for our new segments reflecting the adoption of the new revenue accounting standard for tooling and pre-production engineering. This side provides 2017 results on the old revenue standard for our new segment and then applies our estimate of approximately $2.3 billion in reduction of sales. We're working through the impact of the new accounting standard on our 2017 results and expect to provide restated numbers by quarter sometime before we report Q1. Finally, just as a reminder to everyone listening that we're hosting an Investor Day in New York City on February 28. The webcast of our event will be available on our website. Please feel free to contact me if you'd like further details. And now, I'll pass the call over to Don.
Donald J. Walker - Magna International, Inc.: Thanks, Louis. Hello, everyone. Let me start off with some highlights from the fourth quarter. I was pleased with the results which were a record for sales and EPS. And we also had a record EPS for the full year. We continue to outgrow vehicle production and importantly our equity income increased by more than 90% from last year's fourth quarter to $88 million, largely reflecting strong growth in the dual-clutch transmission at GETRAG's joint ventures in Asia. And we returned $461 million to shareholders in the form of share repurchases and dividends, bringing the total for the year to $1.7 billion. Other highlights for the quarter include Magna's activities at the Consumer Electronics Show in Vegas unveiling of our 4D high-definition ICON radar. The recent launch of our active air dam systems on the all new Ram pickup truck, business wins with new Chinese automaker NIO and finally the launch of the new G-Class at Magna Steyr. During the fourth quarter, excluding the positive impact of currency and acquisitions net of divestitures, our consolidated production sales increased by 3% year-on-year, slightly ahead of the increase in global production of 2%. The outperformance was driven largely by North America, which was down 1% versus a 5% decline in production, Europe was up 13% versus a 7% increase in production and rest of the world was up 17% versus a 15% increase in production. Asia was down 4% versus a 1% increase in production. The below market performance in Asia is partly due to a difficult comparison with last year's fourth quarter. For the full year 2017, we far outgrew the Asian market and based on our outlook we expect to continue this strong performance through 2020. In addition, our unconsolidated sales in Asia increased 88% to $672 million in the quarter excluding acquisitions. As the pace of technology change and the automotive industry accelerates, the Consumer Electronics Show in Las Vegas has become an increasingly important event for Magna to showcase products and electrification, autonomy and mobility for our customers and members in the investment community. Our theme this year was science fiction thinking automotive reality. Attendees who had the opportunity to visit our booth got a glimpse into the car of the future with our LiDAR, our high-definition radar through a virtual reality experience and an all new Matrix lighting technology. Leveraging our leadership and bringing power to the wheels we also displayed our e1 concept vehicle. The e1 is a Tesla Model S that we used to demonstrate different electric drive concepts and vehicle integration capabilities. The e1 system consists of highly integrated e-drives in the front and rear axles with the rear axle powered by two motors. By using this innovative approach, the e1 achieves superior longitudinal and lateral dynamics with excellent vehicle stability for more safety. The e-motors are combined with a single single-speed reduction-gear transmission and an inverter in a very compact package and a number of the OEMs have shown interest in this concept. With an open for business mindset, Magna also used its time at CES to continue to vet new potential partners, technologies and startup. In January, we formally unveiled our high-definition radar which we have branded ICON radar. This new radar sets the standard for resolution and incorporates advanced technology used in the U.S. military to provide precision, detection, extensive range and high resiliency. In addition, the technology is naturally tolerant to interference which will become a critical issue as the number of radar enhanced vehicles on the road increases. We're currently quoting a number of programs for new business with her ICON radar. Magna has been collaborating with Uhnder, a technology startup in engineering and product development, to bring this technology to market in 2019. Our relationship with Uhnder builds on the success we have had in identifying and cultivating early stage technology companies and enhances our reputation as an attractive partner. With a range of more than 300 meters, ICON radar continuously scans the environment 50 times faster than it takes a human to blink an eye and does it in four dimensions so that's distance, height, width and calculates the speed. ICON radar can detect and track almost 100 times more objects than competitive systems and individually classifying them. The ability to distinguish objects is critical. The enhancement of safety features such as autonomous emergency braking and will further the progress towards fully autonomous driving. Magna showed its growing range of active aerodynamic systems at the Auto Show in Detroit last month with an active air dam launching on the 2019 Ram 1500 Pickup truck. The air dam deploys automatically to reduce air around the vehicle and provides emissions and fuel economy improvements. It's a first of its kind in high volume vehicle production. Combined with Magna's active grille shutter, the aero system on the 2019 Ram achieves an estimated 7% drag reduction and 1 mile per gallon fuel savings in the highway. Across the Ram truck fleet, the active aero system's expected to save an estimated 10 million gallons of fuel annually. The Ram's active aero systems are driven by smart actuators and power systems developed in a cross group collaboration between our Magna exteriors and closures units. In China, we're seeing the opportunities emerge to supply traditional players as well as startups with new energy vehicles. As a recent example, Chinese startup NIO launched their ES8 electric SUV in December last year. The NIO seats seven, features a lightweight all-aluminum body and chassis and comes standard with electric drive systems on the front and rear. Magna's content included the aluminum sub-frame and rear cradle, the gearboxes for both e-drive systems and a latching system for the side doors and hood. This type of launch is ideally suited for Magna. We were able to apply our full vehicle expertise to help make the vehicle lightweight while helping to efficiently deliver power to the wheels. Last, as you know, for nearly 40 years the Mercedes-Benz G-Class has been built in Graz, Austria by Steyr. I'm very proud to say that tradition continues with the new G-Class which was introduced at the Auto Show in Detroit last month. As the sole producer of the G-Class, we continue to demonstrate our competencies as a highly flexible and experienced complete vehicle manufacturing partner. Our team in Graz takes immense pride in their knowledge and skill at making high quality automobiles and we are employing the latest technology to keep the operations efficient and optimized. Since the beginning of G-Class production, more than 300,000 of the iconic vehicles have been produced in Graz. In 2014 the production contract with Daimler and Magna was extended. The plant is now producing more units than ever due to the model variations and growing popularity of the vehicle around the world. With that, I'll pass the call over to Vince.
Vincent J. Galifi - Magna International, Inc.: Thank you, Don and good morning everyone. Overall we posted strong fourth quarter consolidated results, including all time record consolidated sales of $10.4 billion; fourth quarter record consolidated EBIT of $809 million, which is up 16% over 2016; fourth quarter record net income of $568 million, up 13% from Q4 2016; and adjusted EPS of $1.57, an all-time record for us, up 20%. We also generated free cash flow after capital and other asset spending of $585 million and returned $461 million to shareholders through share repurchases and dividends. Lastly, our board approved a 20% increase in our quarterly dividend. I will cover each of these in my financial review. Our consolidated sales were an all-time quarterly record of $10.4 billion, an increase of 12% over the fourth quarter of 2016. European and rest of world production sales, complete vehicle assembly sales and tooling, engineering and other sales were each up year-over-year. The higher sales largely reflected the launch of new programs and the $418 million positive impact of foreign exchange translation. EBIT margin percent increased to 7.8% in the fourth quarter of 2017 from 7.5% in Q4 2016. The combination of these results resulted in a 16% increase in EBIT to $809 million. Year-over-year, equity income increased $42 million or 91% to $88 million in the fourth quarter of 2017, largely reflecting contribution on higher sales due to the launch of new programs at GETRAG in Asia, partially offset by launch and related costs at our GETRAG joint venture in Europe. Excluding equity income, EBIT margin was relatively unchanged at 6.9% in Q4 2017 from 7% in the fourth quarter of 2016. This is despite the higher proportion of European production sales, assembly sales and tooling, engineering and other sales, all of which typically earn a margin percent below the Magna average. Looking at EBIT margin percent by segment; North American EBIT margin was 9.6% in the fourth quarter compared to 9.9% in the fourth quarter of 2016. The decline primarily represents final year-end customer settlements, higher new facility costs and decremental margin on lower production sales, partially offset by operational improvements, higher scrap steel recoveries and warranty costs. European EBIT margin increased to 3.5% in Q4 2017 compared to 2.2% in the fourth quarter of 2016. This increase primarily reflects contribution on higher sales and lower warranty costs, partially offset by operational inefficiencies and launch costs at a body and chassis facility, lower equity income and higher commodity costs. If you exclude our complete vehicle assembly business, margins in Europe were 4% compared to 2.4% a year ago. EBIT margin in Asia increased to 17.5% from 12.9% in Q4 2016. The increase was primarily due to record equity income of $68 million, partially offset by a higher proportion of tooling, engineering and other sales to total sales. Lastly, rest of world incurred a loss of $3 million in the fourth quarter of 2017 while our full-year 2017 adjusted EBIT was $12 million compared to a loss of $17 million in 2016. Our effective tax rate increased to 26% this quarter, bringing our full year effective tax rate to 25%, in line with our expectations before the impact of U.S. tax reform. Net income attributable to Magna was $568 million, compared to $504 million in 2016, mainly reflecting higher EBIT partially offset by higher taxes. Diluted EPS grew 20% or $0.26 to $1.57 for the quarter, compared to $1.31 last year. In addition to higher net income, the increase reflects the 6% decline in shares outstanding. I'm now going to review our cash flows and investment activities. During the fourth quarter of 2017, we generated $1.4 billion in cash from operations, including $564 million in non-cash operating assets and liabilities. In the quarter, investment activities amounted to just over $1 billion, including $750 million in fixed assets and a $267 million increase in investments, other assets and intangibles. Free cash flow was $585 million in the fourth quarter, bringing us to $1.2 billion for 2017. In addition, we paid $95 million in dividends and repurchased 6.7 million common shares for $366 million in the fourth quarter. For 2017, we repurchased 26.3 million common shares for approximately $1.3 billion. We announced today that our board approved a 20% increase in the quarterly dividend to $0.33 per share. This represents the ninth consecutive year of dividend increases, reflecting our continued growth in earnings, as well as management and the board's expectations for the future. Turning to our outlook. We made only one change to what we provided in Detroit last month. We increased European light vehicle production by about 100,000 units to approximately 22.4 million units for 2018. All other elements of our 2018 outlook including our margin percentages by segment are unchanged from the outlook we provided in January. In summary, in Q4 we set a new all-time quarter sales and EPS records for Magna along with fourth quarter records for EBIT and net income attributable to Magna. We returned $461 million to shareholders in the quarter and generated $585 million in free cash flow bringing our 2017 amount to $1.2 billion. And we are bringing in new technologies to market, driving continued secular growth for Magna. Before we get to Q&A, I'd like to spend a moment discussing our growing equity income. As our outlook suggests, we are expecting a CAGR of 15% to 20% for equity income into 2020, largely driven by joint ventures in Asia. Importantly we have been converting substantially all of this income to cash in the form of dividends and our conversion rate is expected to remain high. On our income statement, equity income is largely after tax dollars. We are currently trading at an EV to EBITDA discount to our peers. If you put a P/E multiple on our equity income, our EV to EBITDA multiple would be at an even greater discount to our peers. We are hoping that investors will begin to recognize this. Thanks for your attention this morning. We'd be pleased to answer your questions.
Operator: Thank you And our first question comes from John Murphy, Bank of America Merrill Lynch. Please go ahead.
John Murphy - Bank of America Merrill Lynch: Good morning, guys. A first question just on sort of the, some of the slight weakness in North America in the fourth quarter then as we think about things going into 2018. I'm just curious how big an impact the changeover GM's trucks had in the quarter and how we should think about them through the course of 2018. And I think some of the forecasts are for the volumes to be roundabout flat year-over-year but there's going to be some ebbs and flows in the cadence. So I'm just curious if you can give us some color on that and if there are any other big changeovers in the year we should be thinking about.
Vincent J. Galifi - Magna International, Inc.: Yeah, John. Maybe let me start with that and then Louis if you want to talk about this T1XX launch in particular. When I look at the fourth quarter and the cadence of margins I guess sequentially in the quarter, margins were up a little bit. I guess on a quarter-over-quarter basis down. And kind of when I look at what happened in the quarter, if I look at it year-over-year, John, the one thing that sticks – there's lot of puts and takes, higher launch costs, higher new facility costs, there's lower warranty costs and improvements in some of the divisions we were focusing on over the last couple of years. But the one thing that stands out in my sort of quarter-over-quarter analysis is some true-ups at year-end for customer settlements. In the course of year, you're making accruals on LTAs and givebacks. And as I looked across the company in North America, there's a bunch of true-ups that all went one way that was negative to kind of our expectations. And that was the impact in Q4. So, that's going to go away for 2018. So as we look at 2018 for North America, what we thought we were going to do just in Detroit last month is still consistent and our views have not changed.
Donald J. Walker - Magna International, Inc.: And in terms of the launch of the big truck program, our expectations for the year is that it's going to be down, down about 10%. At least that's what our original or current planning is. And it's going to be down pretty significantly through the first half of the year, higher than that actually in the first quarter. So it will have an impact in sort of the cadence of our quarters. Content though is going up. It's the pickup trucks that are launching right now, our contents are going to go up to about $2,100 from about $1,800 overall in the program, so it should be net positive. But there's going to be some impact as we get through 2018.
Louis B. Tonelli - Magna International, Inc.: Yeah, the only other comment on the launch, it's a huge launch for General Motors and they've had a big focus on this. And we have a lot of content. I think its 36 plants at Magna are impacted by the T1XX. We've done a deep dive in the launches. We've got launches in Cosma, powertrain or electronics or closures or mirrors, lighting, so we've had a big focus on it. We expect everything to go smoothly and it will be important for GM and obviously for us to get the launches efficient but it's going to be a good program going forward. I wouldn't say there was an impact on the fourth quarter so much for us.
John Murphy - Bank of America Merrill Lynch: Okay. And then just the second question Don. On CES and all of your technology you've kind of highlighted some new customers. I'm just curious, how much interest you are seeing from your non-traditional customers and how big an opportunity set does that sort of open up with these new customers? But also as you were at CES were there sort of acquisitions that came across your desk or your thought process for technology that you may commercialize and grow, so maybe on the customer side, but also on the potential for acquiring some technology too?
Donald J. Walker - Magna International, Inc.: Yeah. Swamy is in the call. I may turn over to Swamy at the end here, because he'll know more of the details. I'm not sure what we're saying publicly. We haven't said a lot obviously. We had – there and we continue to have a lot of discussions with a lot of new startup companies. It's a really interesting field to be in right now. There's so many people coming up with new ideas, we're going to look at what do we think is manageable, what's going to be cost-competitive. We looked at auto-qualify and so a lot of really good discussions ongoing. We have seen a lot of interest in the radar and the LiDAR and obviously our vision-based camera systems. We don't typically talk about who we're having discussions with. I'm not sure. Do you want to add anything, Swamy?
Seetarama Kotagiri - Magna International, Inc.: Yeah. I think you answered it, John. The only difference is we have specific domains of technology that we are looking that become relevant to the automotive industry and that's how our technology mining goes about. So, roughly over the last 16 to 18 months, we would have looked at about 1,100 different technologies at different shapes and forms come through. And we have like 20-plus projects that are active in the – I'll call it the proof-of-concept stage, so.
John Murphy - Bank of America Merrill Lynch: And Swamy, if you were to think about that sort of like 24 months ago, I mean how many were you looking at sort of over the 16 to 18 months prior? I mean, how much has that ramped up as far as sort of what you're looking at for acquisition of technology?
Seetarama Kotagiri - Magna International, Inc.: So, John, I think in the last four to five years, definitely the pace of acceleration is much higher in terms of technologies that are coming across. And that doesn't constrain only to electronic side of things, there is a lot of things coming up in materials like carbon nanotubes, different possibilities in graphene, advanced robotics application for manufacturing and so on. So I would say the pace has accelerated over the last three, four years significantly compared to before that time.
John Murphy - Bank of America Merrill Lynch: Okay.
Donald J. Walker - Magna International, Inc.: We'll also be having our Investor Day next Wednesday, so we'll be giving an update on a number of different areas.
John Murphy - Bank of America Merrill Lynch: Okay. That's helpful. And just real quick lastly on CapEx I mean it looks like it's going down. It's not going down much year-over-year. It's roughly similar in 2018 versus 2017. But my understanding is that CapEx goes down significantly going forward and I'm just curious if that's still consistent with what you're looking at? And is that something that we should expect or will there continue to be sort of this very heavy investment for growth because it seems like you've been doing a lot of that in the last couple of years?
Vincent J. Galifi - Magna International, Inc.: Yeah, John, as you think about our presentation, Detroit just in the month of January, we outlined what our capital plans were. And it is coming down a little bit in 2018 and we expect capital in absolute dollars to come down or be roughly the same of what we've got in 2018. But remember, between 2017, 2018, 2019 and 2020 the business continues to grow. So if you look at our capital spending as a percent of overall sales, we're expecting that to come down. We've had some pretty significant I'd call it lumpy capital spending over the last two to three years and that we don't expect that to necessarily repeat itself in the next little while. And we're seeing the benefit of that as a reduction of capital as a percent of sales going forward.
John Murphy - Bank of America Merrill Lynch: Great. Thank you very much.
Operator: Thank you. Our next question comes from Rich Kwas, Wells Fargo. Please go ahead.
Rich M. Kwas - Wells Fargo Securities LLC: Hi, good morning, everyone.
Donald J. Walker - Magna International, Inc.: Hey, Rich.
Rich M. Kwas - Wells Fargo Securities LLC: Just on the – following up on John's question on the CapEx. So your guidance around percentage of sales coming down is pretty clear. I guess just if we think about the next years in terms of sales growth, what could move that number in terms of absolute dollars? Is there enough stuff in the pipeline that you could add by 2020 that would be a material or at least weigh materially on CapEx spend as we think about it or are you pretty comfortable with the outlook even if you're able to add some new programs?
Donald J. Walker - Magna International, Inc.: I'd be pretty comfortable. We've looked at – we've been really highly focused on free cash flow for the last year-and-a-half and we're looking forward. So to the extent we get good opportunities for good returns on investment we want to be doing them. But we have pretty good visibility in 2018-2019, even into 2020. So if we're going to win some business, it's going to be heavy capital. And I guess it could be added in 2020, but we have a pretty good visibility what we – we should know it really clearly in 2018, the timing might slip a little bit over the year end. Even 2019 we have pretty clear visibility.
Vincent J. Galifi - Magna International, Inc.: Yeah, Rich, I think when you like when I think about our capital plan as you get up to 2020, right, remember the plan is bottoms up based on programs that we have. So as Don said, we've got clear visibility and there's some programs that obviously we think we're going to get and we're pretty confident. But in our 2020 numbers when I kind of put the numbers together, there is a placeholder because our experience is there will be programs that we don't have visibility today. They're going to launch in 2022 and 2023 where capital may be required to be spent in 2020. So, yeah, barring a big significant growth in opportunities, I think we're covered for 2020 on the capital side.
Rich M. Kwas - Wells Fargo Securities LLC: Okay, all right, great. And then on the radar, Don, is that – so commercially available, does that mean that it's going to be in development programs with OEs next year or when would we think about that potentially going into a production contract or become part of a production contract?
Donald J. Walker - Magna International, Inc.: Well, we're to the point where we think we should be landing – we can land production contracts. It's still in development, obviously, but we think we're far enough along. Swamy, you want to give anymore color on it?
Seetarama Kotagiri - Magna International, Inc.: Yeah, Rich. I think we are actually working on development projects with the OEMs as we speak today. So the target programs that would go into production on a normal production basis would be 2020-2021.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. And we should hear potentially something around that in terms of an announcement in the next 12 months anyway, ideally?
Seetarama Kotagiri - Magna International, Inc.: Yes. I think as we go through the programs, hopefully we'll land a few, and then we'll talk through it as we get more news.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. And then just a clarification, as we think about Q1, I think Vince, you referenced it a little bit, and I know you don't give quarterly EPS guidance, but typically your EPS is flat-to-down sequentially. Kind of with the production discussion around GM trucks, et cetera that Louis referenced, should we think of that being in line seasonality, in line with history or a little bit worse? Any color around that.
Vincent J. Galifi - Magna International, Inc.: Yeah. Rich, we haven't really given any color on a quarter-by-quarter basis. There's a lot of moving pieces with T1XX. There is the equity income and we're continuing to ramp up at Magna Steyr. And so, I think the best is to think about the full year and you know how that falls in the quarter is maybe lumpy, but we'll get to our full year numbers by the end of 2018.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from David Tyerman, Cormark Securities. Please go ahead.
David Tyerman - Cormark Securities, Inc.: Yes, good morning. My first question is on the customer settlements. Could you quantify those, Vince?
Vincent J. Galifi - Magna International, Inc.: You know they're probably in the range of I'd say $20 million to $30 million in the quarter.
David Tyerman - Cormark Securities, Inc.: Okay. Thank you, that's helpful. And then just for each of the e-drive train and the advanced driver systems, could you give us a bit of an idea of the size of these at this point in terms of revenues? And then what kind of growth rates we're looking at over the next two or three years?
Vincent J. Galifi - Magna International, Inc.: Yeah, in terms of ADAS for 2017, David, we're about $575 million in sales for 2017. In terms of overall growth I don't have that number right in front of me. I don't know, Swamy, do you have some color around that?
Seetarama Kotagiri - Magna International, Inc.: I think we're going to give a little bit more detail in the Investor Day...
David Tyerman - Cormark Securities, Inc.: Sure.
Seetarama Kotagiri - Magna International, Inc.: ...Vince, I think, but we are looking at the $1 billion range by 2020-2021 but that's a rough number.
David Tyerman - Cormark Securities, Inc.: Okay, that's fine. That's great.
Louis B. Tonelli - Magna International, Inc.: We had a really strong year in 2017. I think we were $450 million in 2016, so we got really strong year in 2017.
David Tyerman - Cormark Securities, Inc.: Okay. And the same thing on the e-side, the e-drivetrain, et cetera?
Vincent J. Galifi - Magna International, Inc.: Yeah, I think some of that e-drive business that we've got booked today David, is actually going to flow through equity income down the road and that's really starting in 2021-2022 timeframe. So it's beyond kind of our formal guidance period for 2020.
David Tyerman - Cormark Securities, Inc.: Sure.
Donald J. Walker - Magna International, Inc.: We'll give the information as we feel, as we get it obviously and we feel comfort with it. I think the big unknown is going to be what is the penetration rates of these various e-drive systems by our customers. So what's the timing, and what's the volume, and I don't think people really know, because it's going to depend on consumer demand, it's going to depend on if there's legislation, price of gas. So we'll have to – and we give guidance, kind of to tell you what our assumptions are, and then that – of the penetration rates, and then that will drive the sales. That's true for us, and it's true for anybody else quite frankly in this business, because I don't think anybody really knows what the take rate's going to be.
Louis B. Tonelli - Magna International, Inc.: And the volumes that we've been doing to this point, whether it'd be Ford BUV or the Volvo, that's low volume of business, just by nature of the business, so it's just one of our business that's up and coming and they posted lot of revenues today.
David Tyerman - Cormark Securities, Inc.: Okay. The last question I had is on GETRAG, sounds like it's doing a lot better in Asia, really growing fast. And it sounded like it was negative in Europe. Could you just give us some qualitative on what's going on in the two regions, and how you see them progressing?
Vincent J. Galifi - Magna International, Inc.: So David, as we look at GETRAG, if you'll recall last quarter, we made some specific comment on GETRAG Europe and GETRAG Asia. And what we said last quarter is relative to kind of our expectations for Q3 and – relative to our expectations previously. We thought our Q4 equity income was going to be about $10 million lower in each of Europe and the Asian segments. And if I look at where we ended up in Q4 for GETRAG on the equity income line in Europe, I think, we're a little worse than our expectations, and it all relates to some of the launch costs, and some of the issues we identified in Q3, and those are relatively behind us. I think, we'll get back to normal pace as we move into 2018. In Asia, we were expecting softer volumes, which is why we've talked about a relative sort of reduction in equity income versus expectations. But as the quarter progressed, sales were stronger than what we thought, and our equity income in Asia in our GETRAG joint ventures actually came in higher than expectations. So as you kind of look out, equity income for quarter may be lumpy, but if you think about our equity income in our Power & Vision group and GETRAG is a big part of that, we're expecting just in that group alone, equity income somewhere between $320 million to $350 million in 2018, and that's growing to $360 million to $405 million. And most of that, I'd say, substantially all that growth is through GETRAG. So we're continuing to expect to see growth in equity income, both in Asia and in Europe.
Donald J. Walker - Magna International, Inc.: So just to add a little color on that, if you recall, last quarter, we said that by Q4, we were going to – it was going to be our highest quarter, and it was driven by the launch of the business in Asia. But we were tempering the sales that we expected relative to our previous expectations, as it turned out – and we did that based on some of the softening and some of the programs we've seen on volumes in Q3, and what was forecasted in Q4. While it turned out Q4 was pretty strong in sales, and the unconsolidated business was very strong, and recall that we said, 2018 is going to be another strong year, and 2019 is strong as well, so that trajectory is going to continue to be strong as we go into the 2018 and 2019.
David Tyerman - Cormark Securities, Inc.: Great. Perfect. That's really helpful. Thank you.
Operator: Thank you. Our next question comes from Peter Sklar, BMO Capital Markets. Please go ahead, sir.
Peter Sklar - BMO Capital Markets (Canada): You haven't talked a little bit in a little while about, there was the one Cosma plant that was quite a obvious drag on North American results about a year ago. Has that plant been fixed or it's just that you've lapped the bad quarters, you're not seeing the year-over-year impact?
Donald J. Walker - Magna International, Inc.: No, Peter. I think, in my comments if you think about even year-over-year in North America part of the additives to the pluses and minuses, one of the plus was improvements in that facility on a year-over-year basis, and that contributed to earnings growth in 2017 in Q4. So it continues to make progress, we continue to see improvements in the facility, and we expect that even in 2018 that on a year-over-year basis, it's going to contribute more to earnings in 2018 versus 2017, and 2017 was stronger than 2016.
Peter Sklar - BMO Capital Markets (Canada): Okay. And then in your remarks, there was also a Cosma plant in Europe that's underperforming that's impacting results, is this something new or is this – have you referred to this before?
Donald J. Walker - Magna International, Inc.: I think, Peter, we talked about it in last quarter, it's in Europe, obviously, it's – a lot of launches going on, launches started actually in the third or fourth quarter of 2016, and volumes have been significantly higher than what we had quoted on, so we've been running pretty hard, we've been having some inefficiencies. We've got an action plan in place, so again, as I look into 2018, I think that, that's going to contribute to our earnings and margin improvement in Europe in 2018 versus 2017.
Peter Sklar - BMO Capital Markets (Canada): Okay. And then, just one last question, Don, if I could ask you, this whole dramatic market shift to truck versus car, I'm sure that's something that Magna as a whole thinks a lot about in terms of your quoting where you want to be? I mean, do you think this will eventually like the pendulum will shift back or do you look at this more as a permanent change or evolution of the market, and not like are you positioning the company to pursue all of these truck programs?
Donald J. Walker - Magna International, Inc.: Well, we've been pretty successful in SUVs and trucks over the last quite a while, I wouldn't want to claim that we're visionaries in understanding the market better than other people, the things that could move but we do have good content, a lot of the products we're working on light-weighting, aerodynamics, a lot of the powertrain, we've been successful, and they are applicable to some of the bigger vehicles. I think, the thing that could change it would be if fuel costs go dramatically up, we don't see that. It seems like the preference in North America and China for that matter is on the SUVs, and I'm not a marketing expert, but I can understand, if the fuel economy is better, then more utility usage. I think, everybody have their own view on it, but we don't see it dramatically changing, and you can see where our customers are really putting their focus, and they're not putting as much focus or development costs on the traditional car market other than the luxury end.
Peter Sklar - BMO Capital Markets (Canada): Right. And sorry, then just one last question. How are you seeing manufacturing costs, like your cost structure unfolding in China, say as you compare it to North America, I mean, I think we all know there is cost pressures that are building wage pressures in China. How is the cost structure now in China compared to your North American facilities?
Donald J. Walker - Magna International, Inc.: Well, it's still cheaper in China if you look at the direct labor. I think, it depends where you are in China, some of the areas like Shanghai, in some of these areas the cost to get engineers, program managers, more of the technical people is – has been and does continue to increase. We're doing more engineering over there, so I don't think there's a huge benefit in some of those costs to Europe and North America, but direct labor, even though it's going up as a percentage of sales, it's still substantially lower than what would be seen in North America and Europe. I don't think there's a huge advantage over in China compared to places like – some areas in the Eastern Europe, and Mexico. So what we tend to look at for each of the regions, this sort of comes back to the message where we explained to everybody in NAFTA, each of the regions, it's nice to have a location that has lower cost, direct labor. So we can be competitive in our systems, and nothing has really changed that dramatically there, but certainly the higher skilled people going up pretty dramatically in China.
Peter Sklar - BMO Capital Markets (Canada): Okay. Thank you.
Operator: Thank you. Our next question comes from Colin Langan of UBS. Please go ahead.
Colin Langan - UBS Securities LLC: Thanks for taking my question. I just had a clarification, when we looked at the Detroit Auto Show presentation, assembly sales guidance was $3.5 billion to $3.7 billion for 2017 that came in, I think closer to the $3 billion. Is that just a classification difference for the new segmentation or does this actually come in lighter than expected?
Donald J. Walker - Magna International, Inc.: I think you're looking at – you're comparing our new segment and the $3.5 billion to $3.7 billion, which includes engineering, to our complete vehicle assembly business, which is just the assembly business. So, that's the biggest difference, if you will, between the two that you're looking at.
Colin Langan - UBS Securities LLC: Okay. So it's the inclusion of everything?
Donald J. Walker - Magna International, Inc.: There was nothing out of the ordinary besides that.
Colin Langan - UBS Securities LLC: Okay, got it. And any thoughts on M&A, where your kind of priorities would be, whether you'd consider something sizable? Just any thoughts there, any updates on where you're focused?
Donald J. Walker - Magna International, Inc.: We're still looking at what the opportunities are. We have the targeted debt – adjusted debt to adjusted EBITDA ratio, and we're generating a lot of cash. We've talked about that. So, we have the ability to do a sizable acquisition if it makes sense. We have been tending to look at some of the new technologies that are out there. But we have the ability to and we're going to continue to look at opportunities in the areas that we think are key products for us going forward. But we really won't talk much about what we're doing and looking at until we're ready to.
Colin Langan - UBS Securities LLC: Got it. And just one last question. I'm sure, I missed this in the comments. The underperformance in Asia – you seem to outperform every region. What was the driver there on sales?
Vincent J. Galifi - Magna International, Inc.: Sorry. Can you repeat the question, Colin? Sorry, it's what – let me – yeah, let me just give you some more color on Magna Steyr. Just I was looking that up as you were asking your question. So, where we came in on Complete Vehicles is at $3.7 billion in 2017. You remember that our basis of accounting is going to change in 2018. So, the guidance we gave in Detroit was on the new basis of accounting. So, even on a consolidated basis, we came in at about $38.9 billion in 2017. If we apply the new revenue recognition policy for 2017, our consolidated sales – no impact – hardly any impact to EBIT. But our consolidated sales will go down by about $2.3 billion. So, we'd be at $36.6 billion, in reference to our guidance, consolidated of $39.3 billion to $41.5 billion for 2018. So, when you look at Magna Steyr on its own – on Complete Vehicles, when you actually – I think you take in here Louis Engineering as well...
Donald J. Walker - Magna International, Inc.: Yeah.
Vincent J. Galifi - Magna International, Inc.: On the old basis, we were $3.7 billion, which is consistent to what we were expecting for 2017. If you take the 2017 sales and apply the new revenue recognition policies that's going to apply to 2018, the 2017 sales are going to be restated to about $3.5 billion, and that again is pretty consistent with what we talked about in Detroit. So, Colin, maybe you can just ask the question again, and I'll try to answer your second question there.
Colin Langan - UBS Securities LLC: Yeah, sure. It's just on looking at (47:28) Asia was the only region where you underperformed the market. Just any color on...
Donald J. Walker - Magna International, Inc.: Are you talking sales or margin (47:34)?
Colin Langan - UBS Securities LLC: Sales, sales.
Donald J. Walker - Magna International, Inc.: On sales?
Vincent J. Galifi - Magna International, Inc.: In the quarter?
Colin Langan - UBS Securities LLC: Yeah, yeah.
Donald J. Walker - Magna International, Inc.: Okay.
Vincent J. Galifi - Magna International, Inc.: You know what, I think if you look at the entire year, we outperformed the market on a consolidated basis. Yeah, it's really hard on a quarter, you got mix or anything can impact sales. I wouldn't draw any conclusions from Q4 in particular. I think when you look at Asia for us, you also have to think about managed sales, what we've got in consolidated and unconsolidated, and there's been growth there. And our Asian sales, again, I think a better reflection is year-to-year as opposed to quarter-to-quarter.
Donald J. Walker - Magna International, Inc.: Yeah. And we did just have – in the quarter, we had a couple of our largest programs, particularly in China, were just down relative to the overall market. So, we do expect, looking into 2018, it's going to be strong, the growth. It was strong for the whole year. Just for the one quarter, we saw a couple of our biggest programs were down sequentially or year-over-year and that drove underperformance on the balance.
Vincent J. Galifi - Magna International, Inc.: Colin, if you think about 2018 just in Asia, like our guidance there was growth in overall consolidated sales of 14% to 15%.
Colin Langan - UBS Securities LLC: Okay. All right, thank you very much.
Operator: Thank you. Our next question comes from David Tamberrino, Goldman Sachs. Please go ahead.
David Tamberrino - Goldman Sachs & Co. LLC: Great. I wanted to follow up on the customer true-ups at the end of the year for North America. Is this more of a one-off for the end of the year or is this indicative of just a little bit more of a competitive environment and a little bit more price down just as we're getting towards the end of the cycle here?
Vincent J. Galifi - Magna International, Inc.: David, it happens every Q4. And when you look at it, a lot – most times across the organization, it balances out to pretty close to zero, and this quarter, it didn't balance out to zero. So, no, I wouldn't take anything of it.
David Tamberrino - Goldman Sachs & Co. LLC: Well, that's – yeah, that's the reason why I'm asking is because you alluded to in your comments earlier that previously not all of them would go one way but this year happened to be...
Donald J. Walker - Magna International, Inc.: Exactly. I don't think there's anything unusual. But it is always pricing pressure and pricing request, and we try and settle things and sometimes you create it future business, but there's nothing unusual.
David Tamberrino - Goldman Sachs & Co. LLC: Okay. Can you help us or help remind us what your annual steel buy is and how much of that you're exposed to that isn't indexed or through one of your OEM customers?
Vincent J. Galifi - Magna International, Inc.: Yeah. It's about – 75% of our steel purchase is on customer resale, 70%, 75%. The balance is going to be under some short-term sort of fixed contracts. Some of it's at spot. So, there really isn't a big impact on our results when steel moves around, because we do have a whole bunch of it on resale. The impact we sometimes see is what happens to scrap revenue and some of that's shared with our customers. The bigger impact on commodity cost volatility for us is actually resin pricing. And what we've been seeing over the years, David, is that our customers are moving more and more to resale programs on resin, and we're still about 20%, 25% only resale on resin. So, there's a long way to go. But resin is going to have the bigger impact from a volatility standpoint on earnings as opposed to steel.
Donald J. Walker - Magna International, Inc.: David, I'll follow up with you on the annual buy. I haven't got it at my fingertips right now.
David Tamberrino - Goldman Sachs & Co. LLC: Okay. I appreciate that. And then, just lastly from us, so the new business with NIO, we've seen one EV manufacturer struggle to get to mass volumes. What is the trajectory for that business? Is it tens of thousands of units? Is it hundreds of thousands of units? And how do you view this program versus other EV manufacturers?
Donald J. Walker - Magna International, Inc.: It's not high volume, David. It's more in the tens of thousands than in the hundreds of thousands, but – so...
David Tamberrino - Goldman Sachs & Co. LLC: Okay. But can – is it possible for you to just elaborate a little bit more how you found working with this EV start-up and the manufacturing processes they have in place and the confidence level in kind of getting that ramped together?
Donald J. Walker - Magna International, Inc.: Yeah. I don't know the details on it. So, I really can't comment. I think there's a lot of new people coming up with new vehicle concepts. We're always – I think it's more indicative as to whether we have the technology that our customers like and is cost competitive and technically good. So, it's more of an indication of our capability rather than saying there's going to be a huge volume here. Quite often, some of these low volume programs are good ones to test out new technologies, as well launch some. We're always pretty cautious about new start-ups, whether they will hit the volumes, whether they're going to succeed financially, and I think the level of electrification of the powertrain is certainly increasing. I'm still – we're still cautious about how fast pure EVs will sell in the market, as I said earlier.
David Tamberrino - Goldman Sachs & Co. LLC: Understood. Thank you for the time today.
Operator: Thank you. We have no further questions at this time. I'll turn the call back over to our speakers to continue the presentation or for any closing remarks.
Donald J. Walker - Magna International, Inc.: Okay. Well, I appreciate everybody calling in today. I think we had a really solid 2017 with a lot going on in the industry, a lot of opportunity, a lot of challenge this year and some new technologies in the ADAS and powertrain, but overall pretty pleased with the progress we're making. So, thanks everybody and have a great day.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you and have a good day.